Company Representatives: Randall Stuewe - Chairman, Chief Executive Officer Brad Phillips - Executive Vice President, Chief Financial Officer John Bullock - Executive Vice President, Chief Strategy Officer Melissa Gaither - Vice President of Investor Relations & Global Communications
Operator: Good morning, everyone, and welcome to the Darling Ingredients Incorporated Conference Call, to discuss the company's Third Quarter 2019 Financial Results. On the call today we have Mr. Randall C. Stuewe, Chairman and Chief Executive Officer; Mr. Brad Phillips, Executive Vice President and Chief Financial Officer; Mr. John Bullock, Executive Vice President and Chief Strategy Officer; and Ms. Melissa Gaither, Vice President of Investor Relations and Global Communications.  After the speakers opening remarks there will be a question-and-answer period and instructions to ask a question will be given at that time. Today's call is being recorded.  I would now like to turn the call over to Melissa Gaither, Vice President of Investor Relations and Global Communications for Darling Ingredients. Ms. Gaither, please go ahead.
Melissa Gaither: Thank you, Chuck. Good morning, everyone, and thank you for joining us to discuss Darling Ingredients' earning results for the third quarter ended September 28, 2019. To augment management's formal presentation, please refer to the presentation section of our IR website for the earnings slide deck.  Randy Stuewe, our Chairman and CEO will begin today's call with an overview of our third quarter operational and financial results, focusing on year-over-year comparisons, followed by a discussion about some of the trends impacting our business. Brad Phillips, Executive Vice President and Chief Financial Officer will then provide additional details about our financial results. Finally, Randy will conclude the prepared portion of the call with some general remarks, after which we'll be happy to answer your questions.  Please see the full disclosures of our non-U.S. GAAP measures in both our earnings release and earnings slide presentation. Now for the Safe Harbor statement. The conference call will contain forward-looking statements regarding Darling Ingredients business opportunities and anticipated results of operations. Please bear in mind that forward-looking information is subject to many risks and uncertainties, and actual results may differ materially from what is projected.  Many of these risks and uncertainties are described in Darling's Annual Report on the Form 10-K for the year-ended December 29, 2018, and our recent press release issued yesterday and our filings with the SEC.  Forward-looking statements in this conference call are based on our current expectations and beliefs, and we do not take any duty to update any of the forward-looking statements made in this conference call or otherwise. Now, I like to turn the call over to Randy.
Randy Stuewe: Thanks Melissa. Good morning, everyone. Thank you for joining us. Our circular and vertically integrated global system for repurposing animal derived bio-nutrients into sustainable and renewable ingredients for food, green fuel, and value added feeds delivered very solid and improving results in the third quarter.  Our discussion today will focus on the combined results of Darling’s overall portfolio. It should be noted that during the third quarter we consulted with the SEC and they do not object to this methodology as this is how we do and operate our business.  For the quarter our combined adjusted EBITDA was $147.8 million versus $97.5 million in the third quarter of 2018. It should be noted that DGD was shut down for expansion during last year's third quarter. Sequentially, our results also approved when adjusting for the land sale in China. Now let me provide some global highlights for the quarter. First, our food segment improved both year-over-year and sequentially, led by our global collagen business, our health and nutrition platform is gaining momentum and our capacity to serve this growing sector will be augmented by three additional plants commissioning in mid to late 2020.  Our fuel segment anchored by Diamond Green Diesel delivered solid results. Year-over-year results reflect last year's expansion shut-down and sequential results reflect the 20 day catalyst turnaround performed this year during the third quarter. DGD earned $1.35 per gallon on 58.7 million gallons of renewable diesel sales in the third quarter. Year-to-date DGD has delivered $1.26 EBITDA per gallon when adjusting for hedge accounting in the first quarter of 2019.  For fourth quarter and next year, we anticipate running at full capacity and current margins are approximately $1.40 per gallon. This is once again portraying the significant earnings power of our vertically integrated system for the production of low carbon intensity green fuels.  In our global feeds segment, we delivered significant year-over-year and sequential improvements in light of a very challenging macro environment. Simply put, the combination of trade disruptions, African Swine Fever and the lack of certainty of bio fuel programs and the BTC are pressuring global protein and fat markets.  Offsetting this deflationary pressure are continued strong material volumes as the world prepares to feed a hungry China. It should be coming clear that Darling’s diverse global business model, be it raw material mix, geography and ability to produce a wide array of sustainable ingredients will provide the catalyst for the creation of long term shareholder value.  In terms of our capital structure, we maintain a disciplined approach and continue to deploy capital to capture growth. We received dividends over the last 12 months of $107.6 million from DGD and during the third quarter we paid down $33.6 million in debt. This improved our debt ratio meaningfully as we continue to advance toward investment grade levels.  Additionally, we repurchased $19.3 million of stock so far in 2019 with purchases of 636,634 shares in the third quarter and 407,076 shares in early fourth quarter, for a total of 1 million shares purchased thus far in 2019.  Our Diamond Green Diesel II expansion is proceeding on schedule and will more than double our current production volume to 675 million gallons of renewable diesel and 60 million gallons of renewable gasoline once completed in late 2021. Also, we are very excited about additional opportunities to expand our relationship with our joint venture partner Valero. As we explore advanced engineering and development costs reviews of a new renewable diesel plant in Port Arthur, Texas, adjacent to Valero's existing refinery, the proposed facility would produce 400 million gallons of renewable diesel, increasing total DGD production capacity to more than 1.1 billion gallons annually, in addition to the nearly 100 million gallons of renewable gasoline. The new plant will be the first renewable diesel plant in Texas and at full production would make Diamond Green Diesel the largest producer of renewable diesel in the United States and the second largest globally. We expect the final decision on this investment in 2021 with construction to start the same year and commissioning to take place sometime in 2024.  And on a final note, we believe there is good momentum building around the blenders tax credit and we anticipate a positive decision by year end. It is expected the $1 per gallon credit will be made retroactive for 2018 and will be extended to cover 2019 and 2020 production. If it is reinstated, we have the potential to receive an additional $78.7 million of EBITDA for 2018 and year-to-date $99.9 million in Diamond Green Diesel for 2019. The soonest we could receive a retroactive payment for the credit would be in early 2020. So with that, let's have Brad take us through a few financial highlights. Brad? 
Brad Phillips : Thanks Randy. Net income for the third quarter of 2019 totaled $25.7 million or $0.15 per diluted share, compared to a net loss of $6 million or negative $0.04 per diluted share for the 2018 third quarter. The significant increase was primarily due to DGD earning $32 million in the 2019 third quarter, compared to a $2.6 million loss in the 2018 third quarter. Net income for the nine months of 2019 totaled $70 million or $0.42 per diluted share, compared to $60.8 million or $0.37 per diluted share for the nine months of 2018. As Randy mentioned, we are reporting Darling’s 50% share of the earnings from the Diamond Green Diesel JV in our operating income for all periods presented rather than as a non-operating item.  Operating income for the 2019 third quarter was $59.9 million as compared to $15.6 million in the 2018 third quarter and operating income for the nine months 2019 was $182.5 million as compared to $181.3 million in the comparable 2018 period.  Now looking at taxes. The company reported income tax expense of $10.9 million for the three months ended September 28, 2019. The effective tax rate is 28.8%, which differs from the federal statutory rate of 21% due primarily to the relative mix of earnings among jurisdictions with different tax rates and non-deductible compensation related items. The company also paid $8.9 million of income taxes in the third quarter.  As you know, Congress continues to discuss the tax extenders package, including the bio-fuel tax incentive. We are optimistic that the bio fuel tax incentives will ultimately be reinstated. For 2019 we are projecting an effective tax rate of 30% excluding the bio fuel tax incentive. If the tax incentive is reinstate retroactively for 2018 and 2019, the effective tax rate is projected to be 15%.  Finally, we are projecting cash taxes of approximately $15 million for the fourth quarter. Capital expenditures were $245.1 million made during the first nine months of fiscal 2019. We also received a $12.1 million cash dividend from Diamond Green Diesel subsequent to the end of the third quarter, bringing total cash dividends received for 2019 from Diamond Green Diesel to Darling to be $67.5 million and $107.6 million in the past 12 months. Our liquidity remains strong with unrestricted cash of $69.1 million and $926.9 million available under our revolving credit line.  With that, I’ll turn it back over to you Randy. 
Randy Stuewe : Thanks Brad. This was a solid quarter, both financially and strategically, and while our macro environment presents challenges, we are executing well against our long term growth initiatives, driving consistent and improved performance amplified by our vertically integrated supply chain. We are carrying solid momentum into the fourth quarter and next year. Our circular repurposing system will provide us a chance next year to improve earnings even further.  Globally the demand for low carbon fuels will continue to expand and we are positioned well to capture a greater share of the LCFS in 2020. Our expanded footprint for the production of hydrolyzed collagen peptides will also fuel both revenue and earnings growth, and finally our global rendering system should feel the positive effects of a growing global bio-fuel demand and improving CD in economics. Lastly, we talked about our sustainability commitment that has always been integral to who we are and what we do every day. Essentially our purpose is to repurpose, and by doing so, leaving a positive impact on our global environment, our community and our people. We also recognize setting and meeting our sustainability goals is another opportunity for us to positively impact people and the environment, while also improving our risk profile and creating long term shareholder value.  In September our sustainability committee published our first ESG fact sheet, which highlights our progress on seven priority ESG focused areas, based on both the global reporting initiative or GRI and SASB, the Sustainability Accounting Standards Board. This was clearly and certainly a collaborative effort among our global team and we look forward to building on our momentum as we advance our on-growing corporate sustainability commitment.  And finally, as always, we appreciate all the contributions of our very hardworking Darling team members and thank them for their continued dedication. So Chuck, with that let's go ahead and open it up to Q&A. 
Operator: Thank you. [Operator Instructions]. And our first question will come from Heather Jones of Heather Jones Research LLC. Please go ahead ma’am. 
Heather Jones: Good morning, thank you for the questions. So I wanted to start with Diamond Green. Randy, did you say that in 2020 you should run at full capacity for the entire year? 
Randall Stuewe: That would be our goal. 
Heather Jones: Okay, so we shouldn’t anticipate a catalyst downtime or whatever like we had in Q3. 
Randall Stuewe: No, I wouldn't say that there won't be a catalyst change out next year, but we are going to say its 275 million gallons at $1.40. So that should answer your question. 
Heather Jones: Okay, and I know you probably expected me and ask this, but on those spot margins, so is $1.40 the goal or what you're seeing right now. Because if I look at you know current diesel pricing events and even assuming not a full capture on the LCFS, I get to margins well in excess of about 40. So I was wondering if you could help me understand that better. 
Randall Stuewe: Yeah, your math is pretty good Heather. The $1.40 I'm throwing out there is simply a benchmark that is for this moment. Right now the margins that we’re seeing, anywhere in Q4 to Q1 range from anywhere from $1.50 to $2.10 a gallon.  So you always want to set yourself enough. You know I don't want to have to go out here. We not – and haven’t practiced guidance in the past, so we are just throwing a $1.40 out and that's just kind of where we think the year could average. But I suspect right now, if you said me for to recast, it looks like it would be a whole lot better for next year. 
Heather Jones: Awesome! So my final question is on the food business. You mentioned doing more of the hydrolyzed collagen next year. So I was just wondering, it think you all were like a $39 million in EBITDA this quarter. Like how should we be thinking about that run rate and say Q2 of next year wants additional capacity as coming on in that division. 
Randall Stuewe: Yeah, the two plants, and there’s three plants that are under construction right now, and the two in Europe will finish up in late Q2 next year to be commissioned in Q2, I want to say. So really, any growth of that would be pretty much in Q3, Q4 and then later in the year, then the third plant would come online in South America for us. So you know I think you know we are finishing out a pretty good year in the food segment. I could see the food segment up anywhere, you know 10% next year plus and that would build momentum even pretty rapidly Q3 onwards. 
Heather Jones: Okay, awesome. Thank you. 
Operator: Our next question will come from Chip Moore of Canaccord. Please go ahead. 
Chip Moore: Yeah hey, good morning, thanks. Randy, a follow-up on that; maybe you could expand on the growth trends you're seeing, particularly in the collagen peptides market. You know we've got these three plants coming on next year. How are you thinking about raw material availability and spreads there? 
Randall Stuewe: Yeah really, if you say are we growing our total production capacity, a little bit, but more or less we're adding different types of finishing capacity on three or four existing plants.  So it’s really no impact on raw material availability from a total demand perspective, but the challenges in raw material availability for that business next year, there are going to be pigskin availability as I referenced trying to feed a hungry China. They will eat all cuts of meat; they will make super bones, they will take pigs skin to fry. So at the end of the day we’re seeing pigs skin move up rapidly.  In Europe today, we're watching it now start to escalate very rapidly. In China, there was a lot of product that was in cold storage there. It's starting to move up pretty rapidly. So naturally we've got to move our pricing up to match that and so for the industry appears to be able to react fairly well to those escalations and raw material price. So you know we’re very bullish on that segment.  The demand side Chip is one where you're starting to you know, from the health and nutrition standpoint you're seeing just a real movement to the forefront of collagen and collagen peptides in different – whether it's healthy nutrition or food applications, sports nutrition drinks, and while it's pretty much a significantly driven by as U.S. phenomena, we are seeing it move around the world pretty nicely right now. And to be honest, most of the capacity out there that we are constructing is committed as we go forward and we are pretty excited about it. 
Chip Moore: And just a follow-up on that Randy, you know given those trends, you know how long do you think this expansion serves you? When might we think about the need for more capacity, you know out in the next couple years?
Randall Stuewe: You know I think we’re – you know essentially we've got a plant in France coming on that’s going to be making our fish products, our fish hydrolyzed collagen, our Ghent, Belgium plant that should start up second quarter next year, then down in Brazil another bovine hide plant that will come on line and then we’ve got a fourth one that should come on probably at the start of 2021, which would be in Kaiping China and that's another product.  So I think you know, we're going to get these builds, see where we're at and make sure we've read the market right, the demands there and we’ll go from there, so. 
Chip Moore: Great, thanks a lot. 
Operator: And our next question will come from Craig Irwin of ROTH Capital Partners. Please go ahead.
Craig Irwin: Good morning and thanks for taking my question. So Randy, big picture right, China's loss give or take, half their pig herd, I guess it's around 10% of the world's animals. That has an impact on the demand for soymeal, but that the world is still protein short, right. There is still a lot of demand out there for meat and as China and Africa and other economies grow, people are going to want to eat more meat.  In the next several quarters, would you expect the historic relationship between soymeal pricing and rendered products to maybe have a little bit of a modification or adjustment where we see stronger pricing of some of the rendered products relative to soymeal given the relative scarcity of meat versus soymeal, which is obviously in excess. 
Randall Stuewe: Yeah, and I think that was reflected. It's a great question, and I think you always have to step back and say that we’re at a point in time in the world that I don't know that we've ever experienced that loss of animal production in the world today on one continent, for one set of people. And the unintended consequences or who's going to produce and who's going to feed them, those are supplied dynamics that are still pretty much in play as you read every day that 23 plants in France were approved yesterday, beef in Canada was approved the day before, so it's going to be very interesting to see.  But none the less, those animals are going to be growing, there is a little – you know obviously the easiest one to produce by life cycle is poultry. Big soymeal consumer, they can also consume all the animal proteins, they've got a huge demand for pork, but pork’s a little longer grow out, you know it’s a little more expansion cycled here.  Clearly the Chinese are going to reinvest heavily into larger animal production units that are bio-secure. They are going to diversify where they grow, they're going to move it from the north, north east, down to the south and maybe a little bit to the west. And so there is going to be a lot of demand for protein going forward to make up the supply shortage.  I think overall Craig, you look at the world, it's somewhere between a three and a five year normalization for China to get back to near self-sufficient if that's even possible, but before that the world's going to have to help feed them, and that should drive pretty good and pretty solid protein demand. Relative to our products, and I think this is something we spent a lot of time. We've never seen the discounts of animal based proteins, the soybean meal at this level for this long. So I don't know that I'm picking a bottom, but I think at the end of the day they've got to normalize into feed rations around the world, and so we're pretty bullish on them. I think soybean meal, clearly $300, $325 a ton this year and meat and bone meal typically and other animal proteins trade 50 under to 50 over, so it should come back. Additionally if you if you take out the crush that was happening in China at the time to feed those animals, that oil is going to have to be replaced. The palm oil cycle appears to have started the hit a lower production cycle. You've got growing bio-fuel demands, within those countries growing bio-fuel demands in South America.  So the oil complex starts to feel a little more friendly this year than it did last year. So that's relative to my comment about our global rendering system. It should feel the positive effects of growing global bio-fuel demand and improving feeding economics, both from a demand and a pricing standpoint. 
Craig Irwin: Thank you for that. So very happy to see Darling out there, actively communicating your position on social responsibility and putting out bench marks on where you’re going to improve form. My understanding is one of these entities that ranks companies on their scores, they are external scores. MSCI screwed up their analysis, and my clients in Europe particularly look very closely at these scores. Can you maybe walk us through what you think people might be missing if they are scoring you badly on water and some of these other things where obviously you're net producer for the system? 
Melissa Gaither : Okay hi, this is Melissa Gaither and I can answer your question on that. Our rating score with MSCI is that we just did not have our scores reported. So we just reported our first ESG fact sheet in late September and we addressed a lot of the water issues, and we also addressed a lot of the environmental greenhouse gas issues. So I think you'll see our score change with MSCI in the near future. So that is our – and that’s been our goal to work with them, to make sure they do see that our reporting is available. 
Craig Irwin: Great, thank you for that, and thanks for taking my questions. 
Operator: Our next question will come from Adam Samuelson of Goldman Sachs. Please go ahead, sir. 
Adam Samuelson: Yes, thank you. Good morning everyone. So I have a shorter term question on the fat market and it dovetails a little bit into a longer term question as you think about the feedstock availability for Diamond Green phased Super Diamond and the potential expansion in Texas.  In the shorter term just, it’s been so interesting because you've seen the soybean oil markets start to strengthen in the last couple of months. You've seen the bio, the tallow and yellow grease market actually weaken and you guys, Diamond Green is up and running and I'm wondering, is it really just the uncertainty around the smaller refinery exemptions and the RFS that’s putting some pressure on the conventional biodiesel side or do you have any color there and then I have a question on the long term, the location for that. 
A - Randall Stuewe: Yeah, I mean let's be clear and you know we're going to stand upfront here. The economics of producing renewable diesel are far superior to bio diesel. Biodiesel, at least under today's uncertain environment, meaning is there a blenders tax credit, is there not a blenders tax credit. The economics for the marginal producer have not reacted; meeting rents haven't reacted, although they are coming up a little bit right now.  So at the end of the day you've got nine or 10 or 12, I don't know what the number is, shattered mothballed bio diesel plants. If you were going to make biodiesel in the United States today and you have the technology to make it out of waste fats and greases, you would do that over soybean oil because of the feedstock advantage. Clearly they don't have the technology nor do they have the demand for it, nor do they have the working capital, so you've seen some pressure on fat pricing in the U.S. because of the shutdown of the biodiesel industry in this country.  You've also seen you know the ethanol industry continues to run. Corn oil is available and that's a feed ingredient that's also out there that can either be made into fuel or can go to animal feed, so there's ample supplies of that, and at the end of the day the soybean industry continues to run and crush at full rate in the United States, so there's plenty of oil there, so.  You know it looks like it's a tightening scenario right now, but the U.S. historically has been an exporter of corn oil, of tallows, of waste fats and greases, and that's kind of been whipsawed right now given the policy issues that are affecting the biodiesel industry, not the renewable diesel industry; we’re actually benefiting down there.  As I said before, the construction of Diamond Green Diesel was done and it’s integrated into us, it's combined in our results now. You know essentially if we could consolidate, we would, because it is the counter cyclical hedge to the supply and demand imbalances that happened in the waste fats and greases, both in the short term and the long term. 
Adam Samuelson: That's helpful, and as I think about that long term, I think about the feedstock supply for Diamond Green, the Super Diamond and the potential expansion in Texas, and some of the other renewable diesel projects that are on the drawing board around the country. I mean how much waste fats and oil are going to be left for the conventional biodiesel industry when this is all done or put another way is, how do you frame kind of what that cost curve looks like on bio mass based diesel renewable in the conventional three to five years from now.
Randall Stuewe: Yeah, this is John. We see a growing supply of waste fats around the world. I think that trend is pretty well established. In addition there's a lot of waste fat that’s used in animal feed and that can be a substituted outlook, non-low CI feedstocks and then we do have somewhat of a competitive advantage versus bio diesel. But even before we get that, there's a growing supply of waste fats around the world and we see that we can utilize some of the waste fats that are currently being used by the feed industry and they can substitute into other fats.  So I know that there's always lots of concerned and you can hire lots of consultants who can give you a million different answers about the future. I can tell you that feedstock supply considerations are primary before we would consider any expansion. We've addressed this to our satisfaction and we’re comfortable that we have the supply available.  Having said that, we’re in a relatively unique position as a primary originator of these waste feed stocks, and I think if you're somebody on the outside just looking to doing this and you're talking about putting as much money as one of these things costs, it's a pretty tough decision on whether or not you've got feed stocks available. Its really our vertically integrated platform that gives us the confidence to be able to put these expansions in place and feel comfortable that our supply chain is in place and adequate. 
Adam Samuelson: Okay, I really appreciate that color. I’ll pass it on.
Operator: And our next question will come from Ken Zaslow of Bank of Montreal. Please go ahead. 
Ken Zaslow: Hey, good morning guys. 
Randall Stuewe: Good morning. 
Brad Phillips: Good morning. 
Ken Zaslow: As I think about it, as you generate more and more cash, particularly from Diamond Green Diesel, can you talk about how you’re thinking about the capital allocation of the increased cash over the next couple years? Will you be devoting it more to CapEx projects from Legacy Darling, will you be giving it back to shareholders to share repurchase. How do you think about deleveraging all that, because it seems like in the next couple of years, there will be an increasing cash flow opportunity and how do you allocate that? 
Randall Stuewe: Can I just give you the simple yes to all your questions there, but I'll give you a little color around them. Now, number one, we've had a pretty robust capital program here, internally as we grow in both, some of our specialty businesses, and you think about our specialty businesses, that's where we are trying to add additional value to the one-stop shop concept with the slaughter house and their supply chain and provide them superior value and also to control and produce more fat. So that’s to feed our new Diamond Green Diesel machines here to be built in North America.  So you've got the base business. We’ve built 13, 14 plants in the last couple years; we've got the three or four gelatin plants or hydrolyzed collagen plants under construction. Really the construction of North American assets is slowing down from that, because we’ve built out what we thought we needed to build.  So overall, you know kind of going forward we look at you know the CapEx program, somewhere around 225 to maintain our system between trucking and all the plants around the world, and then opportunistically if there is things to develop and grow, you know we would spend on that if it met our return standards.  All that said, as we go into Diamond Green Diesel, number two, we anticipate that to be fully funded by the internal cash flows. We get excess cash can if the blenders tax credit comes back, but as we’re not being vocal about that, because we are highly successful and not dependent on it, but it will be a really nice Christmas present to get here.  And then as we go into 2021 and Diamond Green Diesel three, you know we have been open to people and we said we anticipate once this platforms built out with Diamond one and Diamond two in New Orleans and as we go to Port Arthur, the Port Arthur would contain third party financing in order to start to bring back additional cash into the Darling model versus just straight earnings up in operating income, which they are going to continue to grow and be larger and larger, but from a cash generation perspective.  I think we showed you in Q3 that we are willing to step in and buy our stock, because we believe deeply in this business model and we thought it was, if not the best use of funds today, where we continue we still have I think under the current share repurchase program, about $180 million left available there, and at the same time Brad was able to pay down another $34 million of debt while we're growing. So for us it feels pretty darn good out here as we look forward. 
Ken Zaslow: The second question, you said on the food business it will increase double – 10% in 2020. Can you talk about the feed business and your outlook there? 
Randall Stuewe: The feed businesses as I've looked at it, its rolling up right now as we – you know remember we just stocked the world and you have to sit there and put in prices for proteins and where you see fats. We are friendly you know, a little bit of protein improvement and we’re friendly, more friendly fats next year. And so that would say that the feed should come up a little bit from where it’s at today, plus we've got a couple new plants on full time now around the world.  So you know not as much expansionary growth as you should see timed into the food segment with those high value products that’s in feed, but at the end of the day we feel pretty good that the feed segment should show robust earnings next year also. Nothing out there says negative right now. 
Ken Zaslow: I appreciate it as always. 
Operator: And our next question will come from Benjamin Hogan of Inherent Group. Please go ahead.
Benjamin Hogan: Hey guys, I appreciate the question. On the rendering side, my understanding is historically the fertilizer industry used to be a large end-market for meat and bone meal. I know you guys have a few fertilizer plants today. Can you talk maybe about the size of that market and what you all might be doing to grow that? 
John Bullock: Yeah, this is John. Actually organic fertilizer and sustainable fertilizer is part of our portfolio and we've been engaged in a growth strategy associated with that, now starting a couple years ago. We recently opened up a new plant in California and Nebraska to service the growing organic and sustainable fertilizer market place out there.  So we see volumes growing in that area. They'll grow fairly substantially from this year to next year, basis of the plan that we have in place today and we look for further opportunities to grow that market place as we think that is an excellent outlet, especially for some of our products like our mixed meat and bone meal. 
Benjamin Hogan: Okay, great. On DGD, as the low carbon fuel standard programs evolve in California, Canada, maybe then New York, how challenging in terms of logistics and capital intensity would it be to upgraded renewable diesel to renewable jet fuel, if that's…
John Bullock : Yeah, this is John. Very, it’s done and its capital and dollars to do it. We haven't done it at this point in time; because you just answered I think your own question there. We see extremely large and dynamic growth markets on road field. California obviously has their growth plans in place.  They are now doing a mapping program to maybe overlay some volume metric requirements associated with diesel that could further drive demand for renewable diesel in California. Oregon's in place; New York has talked about it, there is a consortium of the Northeast talking about trying to form a northeastern consortium that would actually make that market much larger than California.  Colorado just announced that they are starting a mapping program with the reelection of Prime Minister Trudeau in Canada. We would expect and hope that Canada would move forward with their national program.  So quite frankly, we see plenty of opportunities to supply road fuel out there. If the jet fuel market develops and if the jet fuel market pays the price that makes it the best product for us to sell, rest assured we'll be making it. 
Benjamin Hogan: Got it, okay, that’s very clear. And last, certainly want to commend you on publishing your first ESG fact sheet. Maybe just chat a little bit about kind of early learning from the process and kind of the top one or two areas where you see room for improvement. 
Randall Stuewe: Yeah, Ben this is Randy. I mean as we met in the past, the number one challenges is simply operating on five continents with 230 facilities and trying to aggregate the data. Most of this operational data is not contained within the enterprise system and so you're capturing it locally and then my reluctance to publish was not reluctance to publish, it was I wanted to make sure it was absolutely accurate, because once you put a stake in the ground, you're expected to improve. And so at the end of the day I feel very good about what we’ve published out there so far.  I would tell you from an internal perspective, we refer to it as a living document and much work in progress and going to need a lot of tweaking. Obviously it's the right thing to do. We're also being judged out there by MSCI, we are being judge by ISS, by Glass Lewis and so at the end of the day, we were – we want to make sure that we have the right data.  The second thing is, you know as the only public company in this space in the world, the difficulty at times is telling people either how good you are or not how good you are and so we were trying to make sure that we weren't given any competitive data away that could be in one way or another used against us. So those were the challenges.  Now moving forward, its simply the next discussion is setting goals and goals that everybody around the world can buy into. This includes so many multi-cultural location that goal setting needs to be collaborative around the world and that's the discussion we're hoping in early 2020 to publish goals that would show you one, three, five year type targets out there in the areas of water, in the areas of energy, and people and diversity and different things from that level.  So very much under discussion. I can promise you we’ll be coming back to you for some ideas, you've been really helpful in your leadership role in helping us get the product we've got today.
Benjamin Hogan: Great to hear guys. I look forward to that. Thank you. 
Operator: Our next question is a follow-up from Ms. Heather Jones of Heather Jones Research LLC. Please go ahead.
Heather Jones: Thanks. So a couple of follow-ups. First, if we get a Phase 1 deal, do you think that will help pet through the premium poultry meal market and help those spread widen back to levels more commensurate than last year. 
Randall Stuewe: You know John and I are looking across the table at each other on that. I mean clearly what's driving that spread is just the availability of chicken parts and the amount of the heavy or the augmented slaughter right now. So I mean clearly it's a supply driven market versus demand, but we would tell you on the other side, demand is very, very good. John.
John Bullock: Yeah, I think it can't hurt and it’s only going to be a positive if indeed the trade deal is in place. I would think that that would be an extra demand that would be coming into the market place. We'll just have to see how that plays out, but it's certainly not going to be a negative, it's only going to be a positive. 
Randall Stuewe: Yeah, because clearly Heather, there was a certain amount of chicken protein which would be lower ash, whatever you want to call it, that goes to the aquaculture business in China, and clearly there's going to be strong awkward demand going forward as a protein substitute for pork as we go forward. Like John says, it can only help, it can't hurt. 
Heather Jones: Right, and then on the fats part, so we've seen a strong rally in palm, soy, fats markets and other regions of the world are really strong and so there's this pretty sizeable arbitrage between our opportunity between the U.S. and the E.U. or other market. So when do you – what needs to happen for those markets to equilibrate and drag up pricing here. 
Randall Stuewe: You know the – okay, I understand a little bit of that. I can comment a little bit about Cat 1 and Cat 3 fat in Europe. We've seen, Cat 3 fat improve. Cat 1 fat is still the premium, but it's not wide enough for the freight spread and to overcome that currency spread at this time, I don't know. I think the real question here is when will U.S. waste fats and greases you know narrow their spread of soybean oil. Soybean oil is up at $0.32 and we're back basically at feeding economics against corn.  And so I think I try to answer that a little bit when I said you've lost that marginal bio-fuel producer in the U.S. that was used in that, and until they return to the demand side or we get some export around the world, you know we are going to make a lot of money at DGD because of feeds stock. 
Heather Jones: So, you don't think we can increase our UCO exploratory or yellow grease exports and all. You think it has to – the off take is going to have to come from bio-diesel and/or animal feed rations in the U.S. 
John Bullock: Yeah, this is John Heather. I don't know that we'd be counting on a lot of exports of fats out of the U.S. I think the other thing that obviously has happened here is animal slaughter numbers are at a historic all-time high and that's the case in poultry, that the case in pig, and that’s the case in cow right now.  So we have just a whole bunch of animals being slaughtered. That means there’s a whole bunch of byproducts from those animals. As we’ve noted in our earnings release, our volumes continue to move extremely strong in almost every category, you know.  Over a period of time as we bring in this additional biomass based diesel demand on, the renewable diesel demand on, you know we'll see more demand for that stuff and we'll start to see that pricing move, and as Randy just mentioned, and very important, its where corn prices are today and obviously we have a lot of the corn crop still in the field in the upper Midwest and it's currently under snow up there. As these corn prices move a little higher and we as we think that they well, we should be at a better price level where there'll be excellent feed demand for fats as well.  So you know we do see that – we never like a call bottoms, but we do see that the factors that are in place that you’ve mentioned, plus the price of corn and the increasing renewal diesel demand, we do see that there are positive factors out there in that fat market. Is that going to happen next month or 60 days or 100 day from now, I don't know if we are smart enough to know that, but the factors are all in place to see us – see the fat prices start to move higher. 
Heather Jones: Okay. Thank you so much for the color. 
Operator: This includes our question-and-answer session. I would like to turn the conference back over to Randall Stuewe for any closing remarks. Please go ahead sir. 
Randy Stuewe : Thank you, Chuck. We appreciate everyone's time today. I hope everyone enjoys the upcoming holiday season and we look forward to updating you on our fourth quarter and year-end performance next February, March. Thanks again. Have a great day!
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.